Operator: Good day, ladies and gentlemen, and welcome to the AMERISAFE Incorporated Third Quarter Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will be given at that time. (Operator Instructions) As a reminder, this conference call is being recorded. I would now like to turn the call over to Michael Grasher, Chief Financial Officer. Sir, you may begin.
Michael F. Grasher: Thank you, good morning everyone, and welcome to the AMERISAFE third quarter 2014 investor call. If you have not received the earnings release, it is available on our website at www.amerisafe.com. This call is being recorded. A replay of today’s call will be available. Details on how to access the replay are in the earnings release. During this call, we will be making forward-looking statements. These statements are based on current expectations and assumptions that are subject to various risks and uncertainties. Actual results could materially differ because of factors discussed in today’s earnings release, in the comments made during this call and in the risk factor section of our Form 10-K, Form 10-Qs and other reports and filings with the Securities and Exchange Commission. We do not undertake any duty to update any forward looking statements. I will now turn the call over to Allen Bradley, AMERISAFE’s Chairman and CEO.
C. Allen Bradley: Thanks, Mike. Good morning ladies and gentlemen, thank you for joining AMERISAFE’s quarterly earnings call. As usual, I’ll make a few remarks and then turn the call over to Janelle Frost and Mike Grasher for details on the company’s performance. Despite an increase in competition, the workers’ compensation market remains attractive in terms of prizing. We expect industry pricing to plateau or perhaps drift downwards slightly over the next few quarters. We expect to see modest increases in exposures, but certainly nothing dramatic, all things considered. It’s a good time to be in the workers’ compensation business. There are, however, a number of factors, both positive and negative, which could materially affect the direction of the market in the coming years and the coming quarters. Positive impacts from the positive factors include the continued improvement in loss frequency coupled with a general muted growth and severity of claims. The modest improving national economy is positively impacting premium growth. Additionally, a number of weaker and/or impaired carriers have exited the workers’ compensation market, resulting in a more prudent underwriting environment among the remaining stronger players. The results of this improved environment should be revealed in financial results over the next year or two. Negative factors that could change the market in an adverse direction, include but are not limited to filing loss costs and rates which could work to offset the growth and exposures by an improved economy. New sources of reinsurance may provide capacity to carriers that lack either the expertise, to write workers’ compensation profitably, or the capital to otherwise compete. A change in demand for the product arising from the shipping composition of the U.S. workforce in favor of more service-related employment. That sort of employment would generate less premium per unit of exposure and would therefore put downward pressure on market expansion. The potential proliferation of opt out systems replacing traditional workers’ compensation systems is a threat to the market as a whole. As is the elimination or restriction of exclusive remedy status of workers’ compensation as we’ve seen in some recent court decisions. And finally, the impact of the ACA on the general marketplace for healthcare could be disruptive to both the cost and availability of healthcare to injured workers. The ultimate outcome of these and other factors is unknown at this time. As the management of AMERISAFE, it is our responsibility to manage these risks and other risks similar to it to produce superior returns for our shareholders. Speaking of shareholders, our Board of Directors has demonstrated again as continued focus on shareholder returns and the effective management of the company’s capital. As you no doubt noted in our earnings release. Our Board declared an extraordinary dividend of $1 per share payable in December. This extraordinary dividend comes as our Board has reassessed the previous extraordinary dividend that was declared earlier this year. While our board reviews capital management quarterly. Any necessary adjustments to that capital will probably occur on an annual basis in the future. Finally, the Board also declared our regular quarterly dividend of $0.12 per share also payable. With that, I’ll turn the call over to Janelle Frost, our President and Chief Operating Officer.
G. Janelle Frost: Thank you, Allen; and good morning, everyone. We were pleased with the operating results this third quarter. Our combined ratio was 86.4%, down 6.1 percentage points from the third quarter of last year. Our top line grew 7.8 million or 9.1% during the quarter. Policies written in the quarter accounted for 3.6 million of the growth of which new business grew 1.8%. Renewal business was driven by policy retention of 91.3%, compared to 91.1% in the third quarter of 2013. Premium retention was 84.4% compared to 82.9% in the third quarter last year. As anticipated our retention slipped in policies with over $100,000 in premium. Retention is one measure we key on regarding pricing considerations. And as we’ve stated over the last few quarters, we felt we had reached a peak in pricing, particularly on tenured renewal accounts. Therefore, it is no surprise that our average effective loss cost multiplier or ELCM for voluntary premium in the quarter was 1.80 compared to 1.82 in the third quarter last year. This was a slight and intentional decrease designed to retain the business we know best. In addition, audit premium and related adjustments remain positive this quarter at 4.6 million, an increase of $4 million from the third quarter of last year. This was a reflection of actual payrolls on expiring policies being higher than anticipated. Relative to losses, our current accident year loss ratio for the quarter remained at 71.5% this quarter. We continue to see favorable frequency trends. Our claims reported in the calendar year 2014 were up 0.4% from 4,228 claims to 4,387 claims. The quarter was positively impacted by favorable development from prior accident years. Encouraging trends and case developments led to 6.8 million of favorable loss development in the quarter, compared to 2.7 million of favorable development in the third quarter of 2013. This quarter’s development was primarily attributable to case development in accident years 2005, 2010 and 2012. Finally, our expense ratio also decreased to 21.9% this quarter, compared to 22.6% in last year’s third quarter. Mike will provide the details on expenses, however, this quarter’s decrease in the ratio was driven by growth and earned premium, exceeding the growth in fixed operating cost. That concludes my prepared remarks. I’ll now turn to Mike for discussion on the financials.
Michael F. Grasher: Thank you, Janelle. For the third quarter of 2014, AMERISAFE reported net income of $13.5 million, or $0.71 per diluted share, compared to $9.7 million, or $0.52 per diluted share, in the third quarter of 2013. Operating net income reached $13.6 million, or $0.72 per share, in the third quarter of 2014, a 33.3% increase from the year ago period. Revenues in the third quarter grew 16.3% to $102.3 million, as compared to the third quarter of 2013. Net premiums earned increased 17.6% from the year ago quarter, benefiting from favorable growth trends and our 2014 reinsurance treaty. As Janelle mentioned gross premiums written rose 9.1% from the year ago quarter. Our net premiums written claimed 10.4%. Difference in the increase between gross and net reflects the impact of our 2014 reinsurance treaty, as we retain an additional $1 million on the first layer and thus cede less premiums to the reinsurers. Net investment income totaled $6.5 million in the third quarter of 2014, falling 6.5% from last year’s third quarter. The tax equivalent yield on our investment portfolio dropped 40 basis points to 3.5% in the third quarter of 2014 from the third quarter of 2013. The portfolio continues to carry AA- rating with an average duration of approximately 3.1 years, and remains quite liquid with approximately 30% of the portfolio running off over the next 15 months. At the same time, nearly 55% of our investment portfolio, including cash and short-term investments, is comprised of held-to maturity securities, which now hold unrealized gain positions of approximately $26.7 million. Turning to expenses, our current accident year loss ratio for the quarter remains 71.5% compared to 73.2% a year ago. Our incurred loss and loss adjustment expenses totaled $61.8 million for the quarter, which included $6.8 million of favorable prior year development, which as Janelle mentioned was attributable to accident years 2012, 2010 and 2005. This compares to loss and loss adjustment expenses of $57 million in last year’s second quarter, which included $2.7 million of favorable prior year development. In total, our net calendar year loss ratio for the third quarter of 2014 was 64.4% compared to 69.9% one year ago. With regard to operating expenses, total underwriting and other expenses increased 13.8% to $21 million, compared to $18.5 million in the third quarter of 2013. Even though we experienced an increase in terms of dollars, the expense ratio itself actually declined 70 basis points to 21.9%. The decline in expense ratio reflects the impact of continued growth on our top line, as well as our diligence on controllable operating expenses. All this despite lower accruals for ceding commission and contingent profit commissions. Controllable expenses rose by approximately $900,000 driven by long-term compensation, while our ceding commission and contingent accruals dropped by approximately $1.3 million, both relative to third quarter 2013 results. By category, the 2014 third quarter expense components include $6.2 million of salaries and benefits, $7 million of commissions and $7.8 million of underwriting and other costs. In total, our combined ratio was 86.4% for the third quarter, versus 92.5% for the same period in 2013. On the capital management front, during the third quarter, the company paid its regular quarterly cash dividend of $0.12 per share. And on October 28, the Board of Directors declared a quarterly cash dividend of $0.12 per share payable on December 26 to shareholders of record as of December 12, 2014. In addition to the quarterly cash dividend, the Board also declared an extraordinary dividend of $1 per share reflecting the Board and management’s proactive approach to returning excess capital to stakeholders, as well as the favorable outlook for AMERISAFE. Combined, these dividend payments will total $21.1 million. And for the year, will sum to $37.1 million of capital being returned to shareholders. Finally, a few other items. Return on average equity for the third quarter of 2014 was 12.2%, compared to 9.8% for the third quarter of 2013. Year-to-date, our return on average equity is now 11.3%. Book value per share at September 30, 2014, was $23.85, an increase of 10% from September 30, 2013, and is up 6.4% year-to-date. Cash flows from operations remained strong, up $4.2 million to $104 million for the nine-month period ended September 30, 2014. And lastly, our statutory surplus was $389.4 million at quarter end. That concludes my prepared remarks on the financials and I will now turn the discussion back to Allen.
C. Allen Bradley: Thanks Mike. Well, I think Janelle and Mike explained the quarter very well, so why don’t we open it up for questions?
Operator: (Operator Instructions) And our first question comes from Matt Carletti of JMP Securities. Your line is open.
Matthew J. Carletti – JMP Securities LLC: Hi, good morning.
C. Allen Bradley: Good morning, Matt.
G. Janelle Frost: Good morning Matt.
Matthew J. Carletti – JMP Securities LLC: Few questions. First one is, Allen, we’ve just gone through nine months and the top-line growth level has been pretty stable in the 8% plus or minus range. Could you update us on this kind of, I know you’ve talked in the past quarters about a few, maybe, upcoming initiatives, a lot about the energy space and just kind of your outlook for where you see those growth opportunities and if this sort of level we’ve seen is not like for projections of any surplus or say kind of a comfortable level?
C. Allen Bradley: Yes, well, it’s kind of hard to predict what things have work out in the future, but let me give you maybe some insight into things that largely Janelle has done with regard to our business. As you pointed out at her comments, we reviewed our pricing on our renewal business to make sure we’ve able to keep that business which we knew the best. And we compromised some on pricing there. Certainly it plateaued and we saw benefits that came to us from doing that. So feel better about that. We also have initiatives that are targeted in the – and we’ve seen growth in the construction and the trucking side of our business, the oil and gas business and some of the new construction that is targeting the shale gas is another focus where we’re spending some time and effort. We see competition and from time-to-time it can be pretty sharp, but generally speaking it is not. And generally speaking, we see the underwriters acting very responsibly. So, we want to focus on those, we’ve identified targets in industries and actual industry groups in every one of the states in which we sell policies. And we are putting incentives in place for submissions that result in policies being submitted to us in those areas which we want to grow the most.
Matthew J. Carletti – JMP Securities LLC: Okay. That’s very helpful. And then shifting to capital management, I think everybody is quite happy to see the special dividend, bring it to $1.50 this year. Time together kind of your starting capital position which is less than where you’d like to be in terms of operating leverage. And kind of your comments around growth. I mean, is it without having you predict the Board’s actions but just am I thinking about it right that as we move forward and think about, if the street is anywhere close to, or even take this current year’s run rate in terms of an earnings level, at least for the foreseeable future. And as the stock kind of stays in the valuation range that it is, that we could see some growth in that special dividend in the sense that you’re still growing capital at this point. $1.50 is a great start but you’re going to earn something well in excess to that and arguably you did all next year and the year after. Your view that there is upside to that number grant or that would probably be an annual exercise?
C. Allen Bradley: Well first of all I’ll make it clear that we’ve done two this year. One was the initial extraordinary that this company is – personally we’ve ever done.
Matthew J. Carletti – JMP Securities LLC: Yes.
C. Allen Bradley: And so naturally the approach of the Board of Directors was to be cautious on that. And then they reassessed that position later in the year. So I think we want to get clear in everyone’s mind not to think about this as a twice a year function but more of a once a year function.
Matthew J. Carletti – JMP Securities LLC: Right.
C. Allen Bradley: But if you move it to the third quarter, it’s going to have more positive impact in terms of return on equity as you look out to the next year’s. I would tell you this, without speaking for the Board or getting above my raise on this, they look at capital very closely every quarter and our Board is very familiar with operational leverage and the impact it has on ROE, and also a lot of other things that we don’t talk about on these calls with respect to where our reserves [hit] (ph) and what opportunities we see for growth or what opportunities we see for potential acquisitions. So I think all of that mixes together. I think that the key take away from the addition to the extraordinary dividend that we paid earlier this year is that the Board is very well aware of it and they’re going to take steps that make it prudent in appropriate returns of capital with a view to maintaining that A rating, maximizing in a prudent way on operating leverage and making sure that this company is extremely solvent and well positioned to take advantage of growth.
Matthew J. Carletti – JMP Securities LLC: Great…
Michael F. Grasher: One thing I could add to Allen is, Matt, is that – don’t forget the business we’re in. It’s a very volatile business from the standpoint of losses. One never knows when they discover the slip and falls out there that maybe are occurring. Gravity is always present.
Matthew J. Carletti – JMP Securities LLC: Very true and then one housekeeping item and I’ll get out of the way. I appreciate your comments on kind of pricing plateauing, but just in terms – I’m sorry if I missed it, just the LCM in the quarter, just for modeling purposes, do you have that?
G. Janelle Frost: Yes, the quarter was $1.80 for third quarter of this year versus $1.82 third quarter last year.
Matthew J. Carletti – JMP Securities LLC: Great, thanks very much and congrats on the quarter.
C. Allen Bradley: Okay. And by the way, Matt, just for your – year-to-date, the LCM is $1.84.
Matthew J. Carletti – JMP Securities LLC: Wonderful thank you.
C. Allen Bradley: All right, thank you.
Operator: Thank you. Our next question comes from Randy Binner of FBR. Your line is open.
Jason Oetting – FBR Capital Markets & Co.: Hi. This is actually Jason Oetting for Randy today. How are you?
G. Janelle Frost: Good morning Jason.
Michael F. Grasher: Doing well, thanks Jason.
C. Allen Bradley: Good morning Jason.
Jason Oetting – FBR Capital Markets & Co.: Good. My first question is actually on the tax rate. So it’s a little bit elevated this quarter aside from better underwriting results. So I was just wondering if there’s anything special or something we should know that’s going on in that number.
C. Allen Bradley: No, you’ve captured it, just the better underwriting results are driving that – the favorable development that occurred in the quarter as well as throughout the year.
Jason Oetting – FBR Capital Markets & Co.: Okay. Fair enough. And then on the net investment income, it was a touch lighter than I think we would have expected. I was just wondering is there, maybe, a slight allocation shifts in the portfolio or maybe – is it just lower yields?
C. Allen Bradley: It’s primarily lower yield. We have maintained sort of in that AA-rating. So there’s been really no shift in terms of quality. When you look at security types, I mean, the most recent quarter, I’d tell you that we’re probably more – a few more corporates purchase duration remain the same. Basically we write at the three-year mark, the rate, reinvestment rates about 1.6%. So given where the portfolio is running off versus what we’re reinvesting at. That should be I guess sort of your run rate as you think about it going forward.
Jason Oetting – FBR Capital Markets & Co.: And I think if I look back, historically, munis have kind of come down, are you still shifting more to corporate or…
C. Allen Bradley: That’s been the most recent trend. Again it’s sort of taking a picture of what’s going on in the market on a day-to-day basis in finding those opportunities whether being it is or corporates.
Jason Oetting – FBR Capital Markets & Co.: Okay. And a last one, if I may. Earlier you talked about growth in oil and gas and a few of the other areas, when you think about your overall premium distribution, how do you visualize your ideal pie, if you will? Do you want increase certain areas more than others or maybe kind of pullback in certain industries?
C. Allen Bradley, Jr.: Well, first of all, let me give you my smart alike answer, we want to grow where we’re making more money.
Jason Oetting – FBR Capital Markets & Co.: Always.
C. Allen Bradley, Jr.: But what that – and while there is a little bit of smarter, our answer is also the basis of our targeted growth. We take multiple years of data, segregate them on a state-by-state basis by the SIC codes and determine what factors make us, probably, more attractive for us to grow and others, as opposed to others. We – oil and gas growth actually adjacent affect several SIC codes. Construction, transportation, manufacturing, all of those can grow out of an energy expansion. And we’re seeing a lot of that being – actually dictated by what’s going on in the economy now with the shale gas and a lot of those things are driving parts of that. I would think of us, or I think of us as probably a 40% to 45% construction business somewhere in the low-20s in the trucking. Perhaps a bit more in the oil and gas now. Few years ago agriculture had grown to be a larger part, that has backed off a little bit and oil and gas has come up. But really what we’re looking for are those things in those locations that historically provided us over the last six to ten years a superior return. And so that’s what we’d like to see at growth. But a general mix, 40% to 45% on construction, 20% to 23%, 24% on transportation, and then the other are shifting around where the opportunity exists.
Jason Oetting – FBR Capital Markets & Co.: Okay. Those responses are helpful. Thank you.
C. Allen Bradley, Jr.: Thank you.
Operator: Thank you. (Operator Instructions) And our next question comes from Mark Hughes of SunTrust. Your line is open.
C. Allen Bradley, Jr.: Mark.
Mark Hughes – SunTrust Robinson Humphrey: The LCM in the quarter, the 1.8 down sequentially in what had been increasing and stable climate. Could you talk about your strategy there? I know you would mention that you wanted to make sure that you’re getting certain accounts renewed, was that kind of a one quarter phenomenon as you got past some of these renewals or is this something we should expect to persist, is this the new normal in terms of LCM?
G. Janelle Frost: Good question Mark. The drop in our LCM for the quarter was in the renewal business alone, the new business did not drop, I don’t – at this point we don’t see that and we don’t anticipate that dropping. Is that a continual drop? It depends on what’s going on in the market. I think Allen alluded to in his remarks that we have seen some rate decreases from the state. I think we’re at 3 to 1 decreases versus increases at this point for the year. And so, we are very cognizant of that fact, but at the same time on those tenured renewal accounts, the accounts we know best, the accounts that we know are profitable. We are very attentive to the cumulative net rate changes they’ve experienced over the tenure with AMERISAFE. So that’s what’s changing in the mix for us.
Mark Hughes – SunTrust Robinson Humphrey: That phenomenon will still flow through subsequent quarters, if I assume?
G. Janelle Frost: Yes, I think so, I believe so, but keeping in mind, we are keeping our eye on the underlying rates by the states.
C. Allen Bradley: Yes, and let me amplify that a little bit, if I might. The loss cost as I comment, the lost cost as Janelle comment, the loss cost and the rates, let’s exclude rates because that’s all in, but the loss cost in most states are falling. There’s about three loss cost reductions for every one loss cost increase across the country. Even if the LCM were to stay the same, since it’s an index multiplied against the loss cost the premium itself would trend down. So we are trying to make sure, but that the clients look at it in terms of what they pay, a net rate. So we’re trying to adjust that as we go along and not just be seem ended into a number on the loss cost itself. And when you see these rate reductions in states versus rate increases, that’s the aggregate across 600 or 700 class codes. How an individual class code is impacted is maybe dramatically different from the overall aggregate. So it’s very tailored to the account and designed on our renewal business to keep those accounts that it performed well for a long period of time that we know best. And for new business, we’re not nearly as aggressive with respect to that.
Mark Hughes – SunTrust Robinson Humphrey: And what did you say regarding frequency in severity that you’ve seen lately?
C. Allen Bradley: Well, my initial comments where about the industry as a whole. But the industry as a whole and AMERISAFE were both experiencing a decline in frequency, which continues on and whether it’s measured on a payroll basis or premium basis both have indicated continues declines across the country for the industry and certainly for us. In addition to that, we’ve seen – gosh I hate to get too excited about this, because every time you just say some for positive and some negative happens, but we’ve seen sort of a muted growth in the severity of claims. One of the things that the NCCI has noted has been a noticeable drop off in the use of Schedule II opioids and the Schedule II narcotics are a big driver of cost – and not just the drug cost itself, but the impact it has on the return of the injured worker back to the workforce. So we’re taking that as a positive. Back to my other comments, our concern about the ACA is that since workers’ comp is the last best fee-for-service business in the healthcare industry and a lot of other folks, group health and otherwise have more leverage with the providers, we may find ourselves with delays in receiving treatment, which could be very adverse to us.
Mark Hughes – SunTrust Robinson Humphrey: So the muted growth in severity, is that an ongoing deceleration? Was it more muted in your recent experience, Q3 compared to what it was earlier?
C. Allen Bradley: I’m looking back over the last two years for the industry and the claims get bigger every year, okay. So I’m just saying it didn’t grow as greater rate as it had been in the past.
Mark Hughes – SunTrust Robinson Humphrey: Right, okay. And then your point about competition was that the underwriters were being more prudent? Do you see moves amongst any of the bigger players that are notable? You’ve from time-to-time in the past have been opened to naming names, I’m curious whether if you got to name any, let’s say, this time around?
C. Allen Bradley: Yes. Well, I will tell you this. I guess, I should be consistent to name names when they do good and they do bad. Right now large writers that we see across the country of workers’ comp. Names that you recognize is someone that follows public companies. I wouldn’t say any one was acting irrationally. Now that doesn’t mean one of our salespeople or one underwriter might talk about a particular account, it was one way or another. But consistently, there has been a lot of responsibility that we’ve seen in the marketplace. Now, smaller players, individual players in states, some people that have extremely grow – rapid growth characteristics are certainly more aggressive in their pricing, although, most of those are not spending most of their timing in our part of the business – in the high hazard business. That’s not a place to get real aggressive rate quickly, unless you kind of what you express link to liquidation or being placed into runoff or whatever.
Mark Hughes – SunTrust Robinson Humphrey: Right. And then what did you say – I see that the audits are up and I know you had an easier year-over-year comparison, and what was your commentary regarding payroll, trends that you saw in the quarter?
G. Janelle Frost: Yes, we’ve continue to see positive audit trends and we internally, Janelle called it wrong six quarters ago, so I’ll continue to be wrong. And it’s in our primary industries; construction, trucking, oil and gas, we’ve seen positive payroll growth. And so we’re interpreting into that that our insurers are working more than they anticipated. We think its longer workweeks, which we like, rather than new workers, but we’ve seen it across the board, the only declines I’ve really seen of note would probably be in manufacturing and it’s a very smaller part of our business. We have seen it there and then in the services industry, but the audit premium growth has been pretty much across the board.
Mark Hughes – SunTrust Robinson Humphrey: Thank you very much.
C. Allen Bradley: By the way, Mark, we’ve decided before the call that Janelle had to answer that question.
G. Janelle Frost: So let me saying, I was wrong again and again and again.
Mark Hughes – SunTrust Robinson Humphrey: Right, yes.
Operator: Thank you. I’ll now like to turn the call back over to Allen Bradley for closing remarks.
C. Allen Bradley: Thank you, and thank you ladies and gentlemen for joining us today. The third quarter was a very solid quarter for AMERISAFE, and the company remains well positioned to provide continued underwriting margins, profitability, and superior returns to our shareholders. Thank you very much.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program. You may all disconnect. Everyone have a great day.